Operator: My name is Ian, and I will be your conference facilitator this afternoon. At this time, I would like to welcome everyone to Fortive Corporation's First Quarter 2018 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Lisa Curran, Vice President of Investor Relations. Ms. Curran, you may begin your conference.
Lisa Curran: Thank you, Ian. Good afternoon, everyone, and thank you for joining us on the call. With me today are Jim Lico, our President and Chief Executive Officer; and Chuck McLaughlin, our Senior Vice President and Chief Financial Officer. We present certain non-GAAP financial measures on today's call. Information required by SEC Regulation G relating to these non-GAAP financial measures are available on Investors section of our website, www.fortive.com, under the heading Financial Information. A replay of the webcast will be archived on the Investors section of our website later today under the heading Events and Presentations and will remain archived until our next quarterly call. A replay of the conference call will be available shortly after the conclusion of this call until Friday, May 11. Instructions for accessing this replay are included in our first quarter 2018 earnings press release. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. All references to period-to-period increases or decreases in financial metrics are year-over-year. During the call, we will make forward-looking statements within the meaning of the Federal Securities Laws, including statements regarding events or developments that we expect or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties and actual results might differ materially from any forward-looking statements that we make today. Information regarding these factors that may cause actual results to differ materially from these forward-looking statements is available in our SEC filings, including our Annual Report on Form 10-K for the year ended December 31, 2017. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements. Before we move to Jim's prepared remarks, I'd like to take this opportunity to announce that Fortive will host its 2018 Investor Day on June 12 at Industrial Scientific in Pittsburgh. Today we'll focus on Field Solutions operating companies and also provide you further insight into our newly acquired Landauer and IFC businesses. Additionally, we'll make available Field Solutions technology demonstrations and ensure of IFC operations. Further details on registration information can be found in our investor website under Events and Presentations. With that, I'd like to turn the call over to Jim.
Jim Lico: Thanks, Lisa, and good afternoon everyone. We are pleased by our strong start to 2018. The strength of our portfolio and focused execution by our teams using the Fortive Business System drove double-digit growth in both earnings and revenue, as well as strong expansion in the gross margins and core operating margin. We have continued to enhance our competitive position and drive growth allowing us to make high impact investments and product innovation in sales marketing. As a result four of our six strategic platforms, Field Solutions, Product Realization, Sensing technologies and Automation and Specialty grew core revenue at mid-single digit rate or better in the quarter. We were also encouraged by the progress of our recent acquisitions including eMaint, Orpak, Industrial Scientific and Landauer, collectively these businesses are growing sales at a double-digit rate. FBS and our integration process have had a meaningful impact on our ability to instill our culture of continuous improvement and deliver on synergy commitment. With that, I'd like to turn to the details of the quarter. Adjusted net earnings of $277.5 million were up 32.5% over the prior year. Adjusted diluted net earnings per share were $0.78, based on an adjusted effective tax rate of 17.9% for the quarter. Sales grew 13.4% to $1.7 billion, reflecting the core revenue increase of 2.6% as five of our six platforms posted core growth. The success of our recently acquired businesses boosted our performance and contributed 730 basis points to topline growth demonstrating the strength of our capital allocation model. Geographically high growth markets core revenue grew mid-single digits with continued strength in Asia and good growth in Latin America. High single digit growth in China was led by Gilbarco Veeder-Root, Fluke and Sensing Technologies. Developed markets core revenue grew low single digits, reflecting continued strength in Western Europe and North America. Core revenue growth in North America was mid-single digit excluding Gilbarco Veeder-Root and was driven by strong performance at Fluke, Tektronix, Qualitrol, Jacobs Vehicle Systems and across the automation businesses. We delivered strong gross margin of 50% reflecting 150 basis points of expansion over the prior year with five out of our six platforms expanding gross margin. FBS continues to drive strong PBV and productivity. Through the vitality of our brands and product innovation all six platforms delivered positive price for a net contribution of 70 basis points. Operating profit margin was 19.4% with core operating margin expansion of 100 basis points driven by professional instrumentation volume and favorable fall-through. We believe our strong margin expansion in this inflationary environment reflects the strength of our portfolio, leading technology and the power of FBS. During the first quarter, we generated $140 million of free cash flow, an increase of 15% and delivered a conversion ratio of 54%. For the full year we continue to expect that our free cash flow ratio will be approximately 110%. Turning to our segments. Professional instrumentation posted sales growth of 21.7% including core revenue growth of 5.5%. Acquisitions contributed 12.2% and favorable currency up 4%. Reported operating margin of 23.7% reflecting core margin expansion of 310 basis points, partially offset by a 150 basis points of dilutive operating margin associated with acquisitions. Advanced Instrumentation and Solutions core revenue increased mid-single digits during the quarter with growth led by continued market share gains at Fluke and Tektronix. Field Solutions core revenue grew high single digits in the quarter, reflecting strong growth across all regions, led by high single digit growth in China and the United States. Fluid delivered high single digit core growth and posted the seventh consecutive quarter of accelerating growth. Growth was broad based around the world and across product lines, including high single digit growth at Fluke Industrial, as well as strong growth at Fluke Networks. I'm confident in our trajectory given leading indicators to sustain growth at Fluke, including accelerating point of sale data and increasing demand for new products such as the T6 family of Electrical Testers with field sense technology. We are seeing continued strong double-digit core revenue growth from eMaint and while early we are pleased with Landauer performance as well. It is a great addition to Fluke Health Solutions where FBS is driving go-to-market synergies ahead of plan and strong operating margin expansion. Industrial Scientific delivered high single digit revenue growth driven by strong double-digit growth in the iNet business and high growth markets. The radius gas area monitor launch that I referenced last quarter is performing ahead of plan and we received several key orders for iNet now and Safety Net Solutions. iNet Now live monitoring software provides real time text and e-mail alerts for gas hazards, panic and maintenance-down situations, allowing customers to see and respond to incidents as they happen. I'm very pleased with ISCs performance and integration success today, which includes the March announcement to expand ISCs Rentals business to include a range of Fluke instruments available for weekly and monthly rentals. Qualitrol core sales decline low single digits, as double-digit growth in North America was more than offset by declines in Europe and the Middle East. We expect this softness in the Middle East to continue through the year. Helping to offset Middle East market conditions or share gains in the Americas and Asia Pacific and new product launches. For example the new Transformer Bushing Monitoring System provides additional functionality to help electric utility save millions by avoiding power transformer loss and unplanned outages. As Lisa mentioned, we're excited to showcase our Field Solutions businesses and leaders at IFC this June. We look forward to seeing you in Pittsburgh. Moving back to the quarter and product realization. The platform core revenues grew mid-single digits for the quarter led by mid-single digit growth at Tektronix. Growth at Tektronix was led by mid-single digit growth in developed markets and double-digit growth in oscilloscopes, driven by continued penetration of the Tektronix 5 Series, MSO and Wideband Solutions. As a reminder, we will lap the launch of the Tek 5 series next quarter in addition to the large 3D sensing when we highlighted in second quarter 2017. While we expect core revenue growth will moderate in the second quarter, we believe this is more of a comparison issue, as overall business conditions remain positive and several new product introductions, including our new arbitrary waveform generator, AWG5200 continue to drive increased customer demand and market share gains. Lastly, I'd like to take a moment to recognize the tech [ph] team for achieving important milestone as they sold their 1 million value oscilloscope, further demonstrating our enduring market leadership. While PacSci EMC core growth was down low single digits for the quarter. Historically high levels of backlog support our expectation of mid to high single digit growth for the year. We're excited about PacSci's maps or Modular Architecture Propulsion System Technology, which is resonating well with customers in New Space Applications. Our sensing technologies platform delivered high single digit core revenue growth in the quarter led by strong double-digit growth in high growth markets and et cetera, as well its high single digit growth at Gems Sensors. Developed markets grew low single digits, as strength in Europe was partially offset by headwinds from prior year large NAVC [ph] orders in North America. We continue to realize market share gains and target vertical, including critical care environment and launched two new products focused on the non-dairy food and beverage market. Moving to our Industrial Technology segment, revenue grew [Technical Difficulty] core revenue performance, acquisition's contributed 300 basis points of growth and currency 310 basis points, reported operating margin of 18.2%, including core operating margin expansion of 20 basis points. Our Transportation Technologies platform core revenue declined high single digits, as double-digit growth in Teletrac Navman, our telematics business and GPT was more than offset by low double digit decline and Gilbarco Veeder-Root. EMV continues to play out at Gilbarco Veeder-Root as we expected for the first half, while shipment timing for some large dispenser orders shifted out for the second quarter. Strong double-digit core growth in China was led by continued demand at Veeder-Root for submersible pumps automatic tank hinges related to double wall tank upgrades. GVR channel energies are driving substantial high growth market performance at Orpak and in addition to several automation tenders that Orpak won in India GVR secured several large European multiyear orders and signed a master agreement with a major African retailer for Payment Systems. I'm also pleased to announce today our competitive win with Chevron where we are partnering to offer an exclusive program to Chevron and Texaco retailers to drive EMV compliance. These core business wins improved bookings in high growth market automation success give us confidence in our expectation for GVR to grow core revenue mid-single digits next quarter and for the remainder of the year. Teletrac Navman delivered a low double-digit core growth, led by double-digit fast sales growth in Australia, New Zealand and Mexico and continued installed base growth globally. Our director platform is the first and only product to achieve FedRAMP Ready Status from the Federal Risk and Authorization program. Despite this milestone, the industry continues to struggle with integration and support issues associated with the electronic logging devices mandate in the United States. We believe this could present cost to ensure headwinds into the next quarter or two, as the mandate takes hold. Automation and Specialty posted low double-digit core revenue growth in the quarter, driven by strong automation growth in Europe and Jacobs Vehicle Systems growth in North America. JVS delivered mid-teens core revenue growth, driven by increased Class A truck production in the United States. Kollmorgen posted double-digit core revenue growth reflecting strong demand in its industrial automation product line, which was driven by continued robotic strength in Europe and China. Kollmorgen received its first order in China for our new platform servo motor product, AKM2G for use in a packaging and bottling application. AKM2G allows customers to decrease the size, footprint and complexity of the machine, while still getting the power and performance they need in up to 20% less space Thomson delivered moderated core revenue growth, led by mid-single digit growth in North America, reflecting strong distribution in point of sale growth. The NF business combination with ultra as previously announced in March is advancing according to plan and we continue to expect closing by the end of the year. Moving to franchise distribution. The platform grew core revenue slightly. Matco core sales were flattish, as double-digit growth and hard line tool and market share gains were offset by continued softness in tool storage. Distributor sentiment coming out of our annual Expo is positive. We recorded our second highest order results in Expo history and we continue - and we expect to continue to outperform the market. To wrap up. We had a strong start to the year with double-digit sales and adjusted earnings growth and outsized growth and operating margin expansion. The team's strong execution using the Fortive business system continue to drive relative outperformance and enhance our competitive position. We're confident that our substantial M&A capacity coupled with our focus on enhancing our portfolio and pursuing high impact growth opportunities will help us continue to build a better stronger Fortive in 2018 and the years to come. At this point, I thought it would be helpful to provide you additional transparency surrounding the recently announced tariffs. With respect to Section 232 given the small amount we import, we expect the growth impact would be less than $1 million and is reflected in our guide. We expect additional impact from the second and third tiers of our supply chain and we are actively mitigating this risk. Regarding Section 301, our focus has been to frame the exposure and stay close to suppliers and customers to understand the impact. We will continue to monitor this dynamic situation between the U.S. and China. As the situation plays out, the strength of our brand combined with the Fortive business system gives us the tool to identify appropriate countermeasures. Turning to the guide, we are raising our full year 2018 adjusted diluted net EPS guidance to $3.40 to $3.50, which includes our expectation of 3% to 4% core revenue growth or mid-single digit core growth for the rest of the year. We anticipate core margin expansion of 50 to 75 basis points and free cash flow conversion of 110% and we are lowering our expected effective tax rate from 20% to a rate of 19% for the year. We are also initiating our second quarter adjusted diluted net EPS guidance of $0.86 to $0.90, which includes assumptions on mid-single digit core revenue growth and an effective tax rate of 19%. With that, I'd like to turn it over to Lisa.
Lisa Curran: Thank you, Ian. You can open the line for questions.
Operator: [Operator Instructions] Our first question is line of Steven Winoker from UBS.
Steven Winoker: Hey, good morning. Sorry, Good afternoon, actually I should say, I'm used to these morning calls, right. So listen, the first question on that GVR rollout shift to the second quarter. Can you just give us a little more confidence that you know, this isn't something that we're just kind of keep seeing thing and if quarter shifts, what gives you high conviction that you actually going to see this come through in the second quarter?
Jim Lico: Yeah. Thanks, Steve. I think first and foremost, this is really kind of the first time we've talked about a shift like this. I think if the quarter played out what really happened was we just saw the order rate move a little bit more to the back end. So our book to bill was actually over one quarter. So we really got some the orders that was just - we really just didn't get them out and we saw that backlog shift in the second quarter. So we feel really confident about what's there. We also implemented ERP system conversion at Gilbarco, we wanted to do that given we see the rest of the year so strong, that we did that in January as well. I mean, we have a little - a few shipping days in January. And so the combination of those two things really puts a few things into the second quarter. So as we said, we'll be mid-single digits in the second quarter and we're confident about that. And as we get into the rest of the year, I think the combination of our customer conversations, as well some of the things we've actually seen, like as we mentioned in a number of the positive things we mentioned in the prepared remarks, give a strong confidence in Gilbarco for the rest of the year.
Steven Winoker: Okay. And then you talk about 50 to 70 basis points of core operating margin expansion for the year. You did 100 basis points in the quarter of core. So how should we think about sort of what's driving the pressures in the rest of the year?
Chuck McLaughlin: Steve, this is Chuck. And so the pressures in the rest of the year, we normally were looking for 50 basis points in a normal quarter. So Q1 was strong. No doubt we're really happy with that and a lot of broad based delivery through with FBS. In our pricing, I think we had 70 basis points there. A good material cost savings. And we also had favorable mix. We could see it come back a little bit as IT starts growing a little faster, but 70 - anything over 50 is a really good number for us and we're really happy with that.
Operator: And our next question is from the line of Steve Tusa from JPMorgan.
Steve Tusa: Hey, guys. Good evening or afternoon…
Jim Lico: Good evening.
Steve Tusa: On Tektronix, what are you guys seeing out of kind of the technology channel there, I guess both in Tektronix, as well as on the robotic side promotion, you know, there is - obviously that part of the world that's has been growing really fast. So just curious as to what your outlook is there for the next several quarters?
Jim Lico: Yeah, relative to Tek, we're certainly seeing strong - we saw a good quarter impact. I think we are mid-single digit in China where we probably have a little bit more of electronic exposure, so off a very strong comp from a year ago. So we sort of feel like continued strength there will happen. We're also obviously building that business to be broadened beyond just semiconductor in China for Tek as well, Steven. North America was good for Tek. I think on balance we feel good about how Tek will play out in the year, the number of new product introductions that we discussed in the in the prepared remarks. Relative to Kollmorgen, really are our main robotic exposure is really at Kollmorgen. And as we mentioned in the prepared remarks with really strong growth in the quarter and we think we'll see continued strength there. The new product that I referenced in the prepared remarks is really a strong application for robotics and we've got a number of pilots going out around the world with that technology. So we feel good about where we'll be. We'll probably moderate on the core a little bit in the second half at Kollmorgen just because of the comps, but the business will still remain strong for the year.
Steve Tusa: So I mean, I'm sure you know, well, you associates can do the math, I am not a math guy, but I'm sure we can all do the math. But maybe just some senses to what the mix is like, what acquisition do you have running today, what growth you're running at. And then obviously you've got this kind of high single digit growth at automation, the automation business you're getting out of, if you kind of net those two out and assume the acquisitions go organic and then that automation business comes out. Are they essentially like - do they add up to kind of the same organic for this year?
Jim Lico: I think if you look…
Steve Tusa: The exact question, make any sense what sort of pro forma…
Jim Lico: I think, I know what you're trying to get at. Let me a shot Chuck and clean it up because all the numbers were up 10% [ph]. But I think what we're seeing - first of all we had a very good quarter for organic growth and the acquisitions, obviously we're not in the organic number, but as we look at organically and as we mentioned really good performance that - it's really those acquisitions that we name. There are things like eMaint, [indiscernible] so they are in the Fluke core number now. But as we think about that two principally or the three big ones we did last year Orpak, Landauer or IFC they'll go core through the second half mostly in the fourth quarter really and they'll be helpful to core right now certainly in the - but they're still small. When you look at that relative to - separate question around, what is automation do? If we look through the year, the in or out of automation on our core is about the same. So it really - it's within - really within around Europe [ph] been almost the exact same number.
Chuck McLaughlin: I think, that's exactly right. And I think if you look over multiple years, the only thing I would add is the recent acquisitions or probably or more single-digit or the long-term gap, probably is going to be not high, most years probably beat that where we're giving up there.
Operator: And our next question is the line of Julian Mitchell from Barclays.
Julian Mitchell: Hi, good evening. Just a question…
Jim Lico: Hi.
Julian Mitchell: Hi. You spoke about the margin sort of mix impact for may be industrial tech rebounding. But I guess, just within Professional Instrumentation and extremely strong core margin performance in the first quarter, was there anything within that sort of onetime or may fade quickly as we go through the balance of the year?
Chuck McLaughlin: Julian, this is Chuck. No, nothing unique in Professional Instrumentation. It's got some really higher gross margins in that, and when we pop a strong growth like we did, and you can sometimes see that. Now we'll be evaluating is how much we maybe invest later in the year, but there is nothing anomalous about within the PI - gross margin or operating margin expansion.
Julian Mitchell: Understood. Thank you. And then, I guess, within franchise distribution, you talked a little bit about Matco and what's going on there. There is been a lot of other industrial companies talking about pre-muted trends around the automotive and so forth. Just wonder if you can give an update on your outlook for Matco? And how you think overall franchise trends the balance of the year?
Jim Lico: Yes. It's - I think, we really - we say a good performance from Matco in the quarter. I think, as we look relative to peer company they clearly outperformed the industry. On the backs of really a good expo and things like our tools and diagnostics category. I think those categories, Julian, tools that our customers need right away to do the work they're doing. So I think that speaks to that tool storage, which has been slower. It's typically something that a customer could put off for a quarter or two, if they wanted to. So I think that's what you're seeing. Quite frankly new car sales slowing is actually in the short run tend to be a little bit better because cars being older tend to need more repair. And as most - three quarters of our sales are into car repair shops as opposed to dealers. So most of our sales are not related to the dealer network, they are mostly related to repair shops around the country. So we think - I think, we have said this a few times that as the mechanic hours and dollars start to accumulate with the '08, '09 downturn, we think we'll start to see some improved economics with mechanics in the second half. And we think that tends to correlate pretty well with tool storage. So we think tool storage will start to improve in the second half and hence Matco will start to improve. But we're very focused on - we're really not tied to new car sales in the short run. Now as we mentioned, 10 years from now, new car sales go down then it might have put a little bit dent in the market then, but I think right now for how we see the year, we think Matco continues to strengthen through the year.
Operator: And our next question is the line of Deane Dray from RBC Capital Markets.
Deane Dray: Thank you. Good afternoon, everyone.
Jim Lico: Hi, Deane.
Deane Dray: For a couple of questions on Fluke. The first is could you take us through the economics, you said that you are offering Fluke on a rental basis? And what kind of fleet utilization you use that analogy, do you need versus question, does it cannibalize any sales?
Jim Lico: Yes. First, yes, Deane, you have a second part there?
Deane Dray: I do. And then the second part of the question is just you touched on accelerating point of sale, I'm always interested in the sell-in versus sell-through at Fluke from the channel?
Jim Lico: Yes. Got it. So the economics are pretty good. What we found when bought IFC was this rental market, which, quite frankly is pretty unknown to what the Fluke tends to be around facility upgrades, where we're taking down the site for the part of two or three months. And we saw this rental program as an opportunity to really accelerate the use of tools. And what we found is that it really is a new market that very often people are not - they are utilizing the once will they have as opposed to maybe needing two or three tools. So we think for maybe two or three months. So we think the use of the rental program is going to be - is really upside for us. We did a lot of work on cannibalization now just to understand that. And the payback is really within a year. We can basically rate it a little bit less than twice, and it's a pretty good payback. So we feel pretty good about what the economics will look like. Relative to point-of-sale, we saw accelerated POS here over the last several months. It does move around a little bit month-to-month, but we feel good about point-of-sale Fluke in North America. We also saw improved point-of-sale at Thomson, as we mentioned her prepared remarks, as well as Kollmorgen in North America. So those are sort our three well weathers where we get pretty good point-of-sale data, and we look at those three things to see if the trajectory is pretty good. And I think right now that would suggest that things are going to continue to be pretty good.
Deane Dray: That's real helpful. And then follow-up question, when you're hitting the 50 basis on gross margin, that was a big threshold for Danaher, and they work towards it and they got there and it was a focus for them to be for M&A that they wanted to be above that. How sustainable is this for Fortive, is it drive much of your M&A focus in terms of the economics or potential targets?
Jim Lico: Well, it certainly an important - let me answer the second part first. We always look at gross margin trends and businesses when we acquire, that's an important dynamic in terms of ability to assess market position, pricing power, level of - quality of innovation. So it's always an important metric. Relative to how we think about things, as we think about the kinds of businesses we're looking at that have more recurring revenue [Technical Difficulty] those tend to be higher gross margin. So the financial intention is somewhat, but the more important aspect of it is the strategic intent of trying to accelerate some of these kinds of business models into our portfolio. So that by nature will improve gross margins. I speak to the first question, Dan, 50% gross margin in a quarter that's usually one of our lower gross margin quarters. The Professional Instrumentation gross margin were really good and felt good about industrial technology to be able to grow their gross margins despite flattish sales. So I think when you look throughout the portfolio, we're incredibly proud of the work of our teams did in the quarter around FDS to drive gross margin. That's not only business model innovation, it's also work we do. I think it speaks to our confidence in the year.
Operator: And our next question is from the line of Andrew Kaplowitz from Citigroup.
Andrew Kaplowitz: Good afternoon, guys. I just a follow-up on two question, I think you mentioned sales have been strong, either you're bucking the trend of some of your peers who had some shorter cycle weakness crop up. I think you mentioned Fluke was up high single-digits, including industrial business is also up high single-digits. Are you just hitting share in your markets there, would you say that there is any difference between maybe your energy focused businesses within versus your industrial businesses?
Jim Lico: So I think when we look at our channels, we would probably tend to think that it's hard for us to differentiate pure industrial from maybe what getting some benefit from oil and gas. So I will just maybe speak to the first of all. But if I take Fluke, we're - our core point-of-sale is out as faster than our sale in. So that feels good. I think probably some of it is market share, we're doing a really good job on innovation. So that's certainly part of it, but so I would feel good about it. But we have strong partnerships with a lot of our industrial distributors and having that also will be able to make. Some of this is our market because Fluke has pretty high market share. So some of the things have to do is really to make their market.
Andrew Kaplowitz: Okay. That's helpful. May be related question, several of peers some weakness in Western Europe this quarter, I'm not sure if it's Easter or may be slightly weaker Matco. But it doesn't seem like saw the weakness maybe you can elaborate on that region? And then whether you will see any improvement in the Middle East as prices have begun to respond here?
Jim Lico: Yes. I think, maybe, I wanted to just come up POS answer too. We will - while we're seeing really strong POS right now, we will start to get some tougher comp in the second half. So we'll see history strong POS. We expect strong POS in the second half, but probably the numbers might be a little less just because we will be working off good comps in the second half. Relative to Western Europe, we had a good quarter. We got a couple of secular things where they transact some of their business with the Middle East through European OEMs. So that us a little bit. But in places like Fluke and Kollmorgen, number of our bigger businesses, we saw good business in Europe. We continue to say, and I think I joked about this on the call in the year call in January that we continue to think will Europe will and then it ends up being pretty good. And they had to do with, I think, the execution that regard across number of our businesses to really do a good job in our innovation and some of the trends like robotics and things like that are driving the business as well.
Operator: And our next question is from the line of Jeff Sprague from Vertical Research.
Jeff Sprague: Most of the business questions, I think, maybe just one related on tax. Obviously, you guys have spending a lot of resources there. What are your views on entitlement tax rate? Is there more opportunity there?
Chuck McLaughlin: Jeff, I do think tax that is part of the business too when we're really happy and proud about the results. But I think that we lowered the tax rate to 19% for the year. Part of it was the Q1 coming in lower as really just option exercises were higher than we had model. And then looking forward, its coming down the rest of the year a little bit as we got a better idea about the mix of our earnings likely to be this year outside of the U.S. and that planning. There is a lot of - I wouldn't say, we have and but I would say that our tax team changes opportunity for them and certainly there has been a lot of change with tax reform. And also then when you put acquisitions on top of that, you can see lot of options for things to do. I wouldn't say that we would - we're entitled to do anything, but we're always looking to see what else we can do here.
Jim Lico: Jeff, I would just add. I think, Chuck wouldn't say this, but I think at the end of the day, it's pretty easy to - for people to look at the tax rate improvements we've had in less than two years and say it's kind of Trump Administration, but the reality is our tax team has done an outstanding job at really looking for opportunities. They applied continuous improvement in the same way that we do everywhere else in the company.
Jeff Sprague: Should we expect cash taxes to be nearing this GAAP tax rate or plus or minus relative to that?
Chuck McLaughlin: We actually now got our tax cash rate under our effective tax rate. So it will for the foreseeable future is going to be less than the 19% we got model
Operator: And our next question is from the line of Richard Eastman from Baird.
Richard Eastman: I noticed in the, again, guide kind of picks up the core growth by a point or so for the full year now, are we talking about mid-single digits for the first three or four. Where is the extra point of core growth coming for? Where is your confidence? Is that or...
Jim Lico: So first of all, the guide for the year was always three to four, and we always saw in the first quarter being low-single and the rest of the year being mid-single. We really don't seem much as change share. There is a little bit of timing as we talked about Gilbarco going from Q1 to Q2, but really we don't see that as a change. We do see, as we've been talking about and Jim mentioned earlier that Gilbarco will start to - will turn to growth now with in Q2. But in the second half, we've already that as we get closer to that be deadline.
Richard Eastman: Okay. And then again the adjusted guide for the full year went up by mid-point? And we're above $0.04 above the midpoint in Q1, I think if the tax rate comes down 19%, that's another nickel perhaps just a little bit curious here. I mean, do we still have a little cushion in there? Or is there some slippage on mix or anything like that?
Jim Lico: First of all, we took the guide at the low and high-end of the nickel, and that's $0.04 on the tax rate coming down and another penny there for FX. We really like the fundamentals of the company going forward in mid-single digit growth for the rest of the year is really good, and that's going to drive above or normal 50 basis points of And that's not different. We are aware though that we're sitting in Q1, and there is a lot of the year to play. So we went with in Q1 and then taking up tax in FX.
Chuck McLaughlin: I'd just add to that. We're focused on our performance here. And I think what we demonstrated in Q1 is when you look around the portfolio, professional instrumentation is a great example, a very strong performance, we took market share and so the markets better, I think, we will outperform still early days, as Chuck mentioned, but we are focused on outperformance and certainly, it's early. But if the markets continue strong then probably to have upside in some areas, but we're very much focused right now on what we can see. As Chuck mentioned, there's also some risky things there that we want to make sure we can take care of. And the last thing is we want to make sure we continue to invest in the business. It's one thing for us to have a number of good quarters, but as you know, having followed us for a long time, we're very focused on '19, '20, '21 and so we're always going to work making sure that we're investing in the future as well.
Operator: And our next question is from the line of Sawyer Rice from Morgan Stanley.
Sawyer Rice: Just maybe a question here again most of the question on the quarter and here, but maybe stepping out a bit looking at the M&A channel and pipeline here, you will obviously have some extended capacity for us. Any sense of the multiples you guys are seeing and maybe the size of assets in the pipeline and then maybe I'll just talk my follow-up in here, but any urgency to bring on may be another platform size of acquisition post-Altra?
Jim Lico: Yes. I think, first, as we talked for each quarter from M&A is episodic, I think, a year ago, we were talking about that and then within a quarter-or-so, we had number of transactions completed. So we do - we're working hard. We're very busy. There is a number of things that we're obviously very involved in and feel confident in saying that we will get M&A done here in the future. Relative to, I think, there is a little bit of a difference in right now. So probably seen a little bit of shorter maybe this week. Expectations on sellers are being a little higher I think, that's one of the reasons why you haven't seen a lot of M&A done in the last six months amongst a lot of our peer group as well, particularly the big stuff. So I think there is certainly opportunity, but I think expectations may be a little higher. So that's one thing. I think relative to how we think about new platform, two years ago, when we went out and said, probably within five years, we would probably add a new platform. And now, we're two years into it with three years left. So I guess, the probably of doing a new platform is more likely. But we really like the $30 billion of served market than we have within the current portfolio today. You're going to hear on Investor Conference how the things about that with our field solutions platform and the opportunity there as well. I think that's a perfect example of how our platform leaders think about growing their platforms, and we always done that. You see that results in the first quarter where I think field solutions is up over 20% - professional instrumentation is up over 20% and revenue between core and non-core because of the way we've built out those platforms. So you see in that kind of success and you'll hear about that. So we don't necessarily feel obligated to create a new platform, but there are certainly opportunities to improve their portfolio, talked a lot about that and kinds of things we are looking for to add new portfolio. If there is an opportunity to do that, we certainly would - we'd love to do it.
Operator: And our next question is from the Scott Graham from BMO Capital Markets.
Scott Graham: Just a couple of questions. First in field solutions. The conversion to Accelix, I think, spoke with there were up sort of 60 tools, I guess, that was sort of made last summer, which represented sort of about 5% sort of connectivity tools of the portfolio of the conventional's. Where are you on that number of tools curve and percentage of conversion at this point?
Jim Lico: Well, I think, probably was alluding to about 5% of the market is probably has those tools. We probably have a bigger percentage of our portfolio than five. So it's probably a higher range of that. I'm not sure exactly what it is. But if you look at some of the key categories, we've got a number of tools now that are out there. I think the best to say about the quarter is the acceleration of core growth at Fluke is getting a number of those connected tools out. I'm not sure what the exact penetration is or we certainly get back on that, but we're certainly continue to accelerate that. We talked in the prepared remarks about technology and T6 family those are some places where we will have connection as well. So we certainly think that we're continuing to accelerate that. I think as we think about more broadly around we felt really good about the quarter. We mentioned eMaint doing a great job, that's really a core part of our software portfolio. The connected tools and as well as just our overall tool sales have been good to be able to put tools in the hands that they can utilize what they want to do. Our share of business is doing well. The one point maybe a little bit slower is on the condition monitoring aspect of this, and while we think we feel very good about the solution is just taking longer for customers to convert pilots. So we said that for a couple of quarters year and remains to selling cycle we're learning just a little bit longer, but we feel good about where that's at. And we certainly detailed that in a great level - we'll get a greater level of detail of that in our Investor Conference when we focus on field solutions.
Scott Graham: Do the rentals help the conversion speed or hinder it?
Jim Lico: I don't think, they hinder it, but I don't they really help it. I think the rental program will typically be more of a part-time thing. It won't be a high-volume thing. It's really more a niche of when customers at the end of the day need more tools and have reluctantly bought more than likely they just try to get more out of the tools that they have. And I think it's just an opportunity for us to be more pervasive. It's still early days. I think it will take us a little while now really helps our forward strategy or not.
Operator: And our next question is from the line of Brian Drab of William Blair.
Brian Drab: Just a couple of questions left here. Business cut - at least as up mid-single digits, excluding the large orders. Can you talk a little bit about how regularly you see large orders in that business? And is the land acquisition, in general, going as expected? And any thoughts on accretion in that business?
Jim Lico: Yes. I think typically what we see, Brian, is that that business doesn't have a lot of large orders. It's typically government related, I think, when occasionally and we see that in our current Fluke Biomedical businesses, which really make up the other part of Fluke Health Solutions. Throughout the business, the only time we really see large orders is when a government agency will buy at one end of time. And that happens maybe once every other year or something like that. So that's the frequency of that. We feel really good about the progress we made on the margin side. Chuck and I were with the team earlier in the year for their 100-day strategic plan, and I was just struck by how broadly the organization was telling us, how the business tools are really applying to them as they try to fix a lot of the things that they wanted to fix for a long period of time. So right now, the businesses is a little bit better from a core perspective than we anticipated. That's good to see. We're seeing pretty good fall through there on the margin side. But it's still early. So I think we'll certainly believe strongly that we will continue to do make the business better, but I think it's still early days and it's going to be a good deal for us, and we're confident in the long-term returns here both the short-term and the long-term returns are coming in as planned.
Brian Drab: Okay. Great. And then one more quick one on the organic revenue growth, mid-single digits for the balance of the year. Is this comp looks like it's coming in the fourth quarter, can you give us any additional granularity in terms of, which quarters would have slightly better or worse organic revenue growth?
Jim Lico: Well, it's pretty fourth quarter - fourth quarter seems like a long way but the reality is probably the end up being one of the better quarters, but we always going to be relative consistency for the next couple of quarters. And obviously, we will see how things play out, but we feel right now that all quarters will be pretty close. And so I think that's the way I think about it.
Operator: And our next question is from the line of Joe Giordano from Cowen.
Joe Giordano: Got two for you. One is, as you kind of progress with this portfolio transformation strategy that has very clear characteristics of the company you are looking for in terms of cyclicality and things, how does that translate into like may be moral some of the companies in your current portfolio who may not have those characteristics? No one wants to be someone else's cost synergies. So what are you doing to maybe get ahead of some of that?
Jim Lico: Yes, I think more people - I would say that the excitement coming out of this operation to continues, our employee engagement has never been higher. So we feel good about all of our businesses and how people feel about the portfolio. I think all of our businesses that will be remaining in Fortive have and some of the business model transformation that we've been talking about, may be a slightly different aspect to that, whether it's maybe more services and on business, some other businesses might have a little bit software. But the ability to improve recurring revenue, the ability to reduce cyclicality something that all of the businesses and have been working on even the business is going to Altra had done a great job in that regard. So I think it's really zero issue with moral, and I think we have really high expectations about what our businesses can do. And I think our businesses are up to that and so that's what we talk about. And our conversations are always about making businesses better, and that's a consistent theme to our history. So I don't think this is really different than what we had and pretty close to the organization. So I feel pretty confident that our ability to sort of drive continuous improvement in the portfolio, make our businesses better as we everybody understands and believes in.
Joe Giordano: Okay. And then, Chuck, if you can just report, what was core growth this quarter if you just take out the ANS segment? And if you businesses that are effectively sold? And how is that like in our internal model for the mid-single digit for the rest of the year, how much do you have in your model of those businesses contributing to that?
Chuck McLaughlin: We'll take the second question first. We have the business built into the business model progress through the year. So that's not going to change until we have - until the deal gets closed, which we have said will be at the end of the year. I think the important thing is, if we take the businesses out of it and really look at the business without GB is the same 5.5 mid-single-digit growth. But without the ANS businesses, its low single-digit just like it is for the quarter.
Operator: And our next question is a follow-up from the line of Steve Tusa from JPMorgan.
Steve Tusa: Just expanding a bit on the acquisition questions. How are you kind of handle on this thing is going to close at year-end, you obviously don't want to impress on deals just to kind of bridge the gap from a bit loss from these divestitures? So or will you kind of - or do you have that aim to get something that you can get done and closed by the time kind of next year comes around? Or how you kind of handle that guidance for next year when the times comes out bridge the gap?
Jim Lico: Steve, I'll go first and then Jim can chime in. We're just looking at it. Those are two things that we are working on very hard. We're very pleased with the progress we're making towards - with Altra deal, and we are on track with that, and we'll get that done by the end of the year. And then separately, we're working very hard to do M&A as we have always been. But as you know, the timing of that is - you really can't control that. So I understand what you're saying, but realized we're working hard to do both of those things and the will fall in but we're optimistic about what we're seeing out there.
Chuck McLaughlin: I couldn't answer any better. So I'm going to just say hi.
Operator: And our next question is a follow-up from the line of Scott Graham from BMO Capital Markets.
Scott Graham: I want to ask a question on EMV. The lower tax rate structure we're facing here increase the $500 million plus market opportunity?
Jim Lico: No, I don't think so. I think the number - we wondered if you could accelerate some things. We don't see that thus far. I suspect because the mix of customers we have from large-scale retailers so small mom-and-pop shops, probably tech strategies different But what we - so we don't think it really changes the market. I think the compliance-driven situation. So the idea that people would do less is probably not going to happen. They obviously want to be complaint. So the regulatory environment is really the driver here, and we suspect of that that's the real driver. As I mentioned, we thought maybe that tax might accelerate some things haven't seen that yet. But we do, as we mentioned in a couple of different situations, we now think the business is going to be in growth mode for the remainder of the year. And we said that a year ago as we thought we will have an air pocket in Q4 and Q1 and then we would move to growth in Q2 and quite frankly that's what's out.
Scott Graham: Yes. You did say that Second one is easy one, Chuck, makes positive in both segments?
Chuck McLaughlin: Was mix positive in both segments? No, I think well the mix I've talked about was between the segments. So that with PI growing faster and IT that drove a little bit more we see a fall through. When you look in within the segments, I think, that I can say years because I think they are both showing margin expansion on both of those segments. So I guess, the answer would be yes.
Operator: And we have a question from the line of Charley Brady from SunTrust Robinson Humphrey.
Charley Brady: May be a bigger picture kind of longer-term question for GVR. When we get through the deadline here, we effectively replaced a good chunk of the installed base in the U.S. I'm sure you thought about it. But what happens? How do you maintain at least some growth or you will mitigate don't think that's going to come at GVR. Is there a function of just trying to get more recurring revenue on that product stream? Or what's your thoughts around that kind of longer-term broad basis?
Jim Lico: Yes. We'll certainly have probably a year, where we are coming back from that depending on the revenue plays out. I think what we said was the move from 2020 from 2017 to 2020 helps that and sort of mitigate the drop, if you will. And what we're really focused on, Charlie, has been about the recurring revenue model growing the business organically in high-growth markets building a larger base a lot of the OPEC acquisition that we did last year was really focused on that. As we mentioned in the prepared remarks, we are off to a very, very strong start there building a great business in places like India, which are making massive investments in their network. So those are going to be kinds of things that we can do and of course, we'll obviously a working to mitigate the earnings at the level as well. So we're probably have some time at Gilbarco negative a little bit, but between building the recurring revenue model some of the things we're doing from acquisition, where we feel good about the size and scale in that network. And what we can do because the technology upgrade that will come will allow of us for to a number of things with data analytics and supply chain logistics with customers that will build into our current revenue model. And with will fall 360 by the way, so I need to get in there.
Operator: And at this time, I'm showing that we have no further audio questions. Presenters, I turn it back to you.
Jim Lico: Well, thanks, Ian, and thanks, everyone for taking the time for - to spend with us today. I know you're all busy - a busy week for all of you and a busy couple of weeks for you. We feel very good about the quarter. We couldn't be more pleased with what we saw from Fortive Business System perspective and the quality of work that our teams did throughout the quarter to make the quarter possible. And quite frankly, we are really excited about how the year will play out at this point forward. We're very excited to see you in June in Pittsburgh. We hope all of you can make it. I think, you will see the quality of how we built the platform. And more importantly, you will see the quality of the team that we have, the players that we put on the field every day to make the business so successful. So we look forward to seeing you soon. And Lisa and Chuck team are available for calls. We look forward to talking to you soon. Thank you.
Operator: Ladies and gentlemen, we thank you for joining us for the Fortive Corporation's first quarter 2018 earnings call. You may now disconnect.